Executives: Robert E. Olson - Chief Financial Officer, Principal Accounting Officer and Executive Vice President R. Stanton Dodge - Executive Vice President, General Counsel and Secretary Joseph P. Clayton - Chief Executive Officer, President and Director Bernard L. Han - Chief Operating Officer and Executive Vice President Charles W. Ergen - Co-Founder and Chairman Thomas A. Cullen - Executive Vice President of Corporate Development
Analysts: Marci Ryvicker - Wells Fargo Securities, LLC, Research Division Benjamin Swinburne - Morgan Stanley, Research Division Douglas D. Mitchelson - Deutsche Bank AG, Research Division Philip Cusick - JP Morgan Chase & Co, Research Division Preeti C. Doshi - Evercore Partners Inc., Research Division Vijay A. Jayant - ISI Group Inc., Research Division Matthew J. Harrigan - Wunderlich Securities Inc., Research Division Frank G. Louthan - Raymond James & Associates, Inc., Research Division Kannan Venkateshwar - Barclays Capital, Research Division Tuna N. Amobi - S&P Capital IQ Equity Research Craig Moffett - MoffettNathanson LLC Gerard Hallaren - Janco Partners, Inc., Research Division
Operator: Good afternoon. My name is Shelley, I will be your conference operator today. At this time, I would like to welcome everyone to the DISH Network Corporation Q3 2013 Earnings Conference Call. [Operator Instructions] Mr. Robert Olson, Chief Financial Officer, you may begin your conference.
Robert E. Olson: Thank you, Shelley. Thanks for joining us, everybody. This is Robert Olson. I'm the CFO of DISH Network. Jason Kiser, our VP of Treasurer and Investor Relations, is out of town today, so I will handle the introductions. I'm joined today by Charlie Ergen, our Chairman; Joe Clayton, our CEO; Tom Cullen, Executive Vice President; Bernie Han, our COO; Paul Orban, Controller; and Stanton Dodge, our General Counsel. Before we turn it over to Joe to begin our prepared remarks, we need to brief you on our Safe Harbor disclosures. For that, I will turn it over to Stanton.
R. Stanton Dodge: Thanks, Robert. Good morning, everyone, thank you for joining us. We ask that media representatives not identify participants or their firms in their reports. We also do not allow audio taping and ask that you respect that. All statements we make during this call that are not statements of historical fact constitute forward-looking statements, which involve known and unknown risks, uncertainties and other factors that could cause our actual results to be materially different from historical results and from any future results expressed or implied by such forward-looking statements. For a list of those factors, please refer to the front of our 10-Q. All cautionary statements that we make during this call should be understood as being applicable to any forward-looking statements we make wherever they appear. You should carefully consider the risks described in our reports and should not place undue reliance on any forward-looking statements, which we assume no responsibility for updating. And with that out of the way, I'll turn it over to Joe.
Joseph P. Clayton: Thanks, Stanton, and good afternoon for those of you on the East Coast and good morning to our West Coast participants. I'll focus my remarks today on our commercial and operational performance in the third quarter. As Robert said earlier, Charlie and Tom Cullen are also here to take your questions on our spectrum status a little later. First, Blockbuster. Last week, we announced the DISH would close its remaining domestic stores, headquarters operations and by-mail service in early January. We also reported that our wholly-owned Blockbuster Mexico subsidiary is held for sale. Now it is a fact that the American consumer today is receiving his or her content electronically as opposed to physically and the original Blockbuster business model was predicated primarily on the physical distribution of video. Now DISH will retain all of our licensing rights to the Blockbuster brand as well as other key digital assets, including the company's significant video library and digital technology. We continue to see value in the brand as we expand our digital offerings. Our Blockbuster @Home streaming movie service is a good example. The third quarter also saw the expansion of several of our commercial activities. Our Apple iPad offer with the Hopper is the ultimate consumer bundle for both in-home and out-of-home viewing. And the Southwest DISH promotion provides us with a direct traveler linkage to our Hopper with Sling product. Both of these marketing programs attract high-value potential customers, affluent, frequent travelers and those likely to own a mobile device. Our Hopper product today offers the buying public simply the best viewing experience. We also had several victories on the legal front as we continue to fight back the broadcasters' attempts to stifle technological innovation in terms of our PrimeTime Anytime, AutoHop and DISH Anywhere features. Again, the board's standdown [ph] on the side of the consumers' rights of choice and control. Now let's move on to the third quarter numbers. As is typical of a mature industry, we face fierce competitive pricing pressures and aggressive promotions. Despite the headwinds, we gained 35,000 new net subscribers in our satellite pay-TV business. Now that's an improvement of 54,000 compared to last year's third quarter. This takes our pay-TV customer base to nearly 14,050,000. We also celebrated the 1-year anniversary of our broadband satellite business by capturing 75,000 dishNET subscribers. This improves our customer count to slightly over 380,000. In total, we continue to grow our base of high-value customers, increasing the percentage of activations with HD, DVR and IP connections. We are also pleased that our churn results came in at 1.66%, 1-basis-point better than our second quarter number. This was one of our better third quarter churn performances, and it came on the heels of our first quarter price increase. Now to provide you all with additional details on our financial performance, here's our CFO, Robert Olson.
Robert E. Olson: Thank you. As Joe noted, we continued to make solid progress in growing our core businesses. Our pay-TV customer base increased by 35,000 net subscribers in the quarter. Gross activations were up sequentially due to normal seasonality and just slightly below last year. The improvement in net adds year-over-year was largely due to large churn rate, which was 14 basis points better year-over-year. We continue to make improvements in our retention efforts. Our broadband business also experienced solid growth. Gross activations of 101,000 in the quarter were up significantly versus third quarter last year and also higher than we recorded during the first 2 quarters this year. Since many of our broadband customers are new pay-TV subscribers, our third quarter performance benefited from the seasonality in pay-TV activation. We ended the quarter with 385,000 broadband subscribers. Subscriber-related revenue was up $199 million or 6.1% in the third quarter compared to last year. This gross growth was largely driven by pay-TV ARPU, which was up roughly $4 year-over-year. We saw a slight sequential improvement in ARPU in the third quarter due to higher pay-per-view revenue. Our broadband business accounted for $36 million of the year-over-year subscriber-related revenue increase. Subscriber-related expenses increased by 9.3% in the third quarter versus last year. Excluding the impact of our broadband business, pay-TV subscriber-related expense increased 7.9% year-over-year. This increase was largely due to higher pay-TV programming expense, primarily driven by increases in our contractual revenues [ph] . As we announced last week, we will be shutting down the roughly 300 remaining domestic Blockbuster stores by early January. We currently estimate that we will incur future losses between $15 million and $30 million associated with the shutdown of the domestic business. We also reported that our Blockbuster operations in Mexico were deemed to be held for sale as of September 30. We took a $21 million charge in the third quarter to adjust inventory and property to their estimated fair market value less selling costs. Pay-TV SAC for the quarter was $842 per activation, which was up $45 year-over-year, largely due to the increased take rate our Hopper receiver system. As we had forecast previously, SAC was down this quarter versus the first half of this year, primarily due to lower brand advertising expense. Due to the higher Hopper take rates, we expect SAC to remain in the mid- to upper 800s for the next several quarters. Administrative expenses were down $83 million year-over-year in the third quarter. This reduction was a result of fewer Blockbuster domestic stores and the deconsolidation of Blockbuster U.K. business. G&A expenses for the DISH pay-TV business were roughly flat year-over-year. Interest expense was up $46 million year-over-year, driven by an increase in long-term debt levels, but down sequentially $25 million due to the redemption of debt associated with the Sprint offer. We recognized $106 million of other income, largely due to gains associated with the sales of Sprint and Clearwire equity and gains on our derivative positions. We recognized a onetime reduction in taxes of $102 million in the third quarter. This was associated with a reserve we had established due to our DBSD purchase in March 2012. This reserve was deemed to no longer be necessary based on tax rewins we received in the quarter. There was minimal cash impact of this change in the third quarter, as the impact will be recognized over 15 years. Net income in the third quarter was $315 million, which was up $473 million year-over-year. The year-over-year comparison is obviously impacted by the Voom settlement last year. Free cash flow was $82 million in the third quarter. This was lower than net income due to a few onetime and seasonal factors. Gains on Sprint and Clearwire equity were investing activities, so they were not included in our definition of free cash flow. Also, seasonally high pay-TV and broadband activations drove up CapEx in the quarter. Looking at the balance sheet compared to the second quarter, cash was up $700 million and other current assets declined by roughly the same amount. This was driven primarily by the settlement of the Sprint derivatives positions. Let me now turn it back to Joe before we start Q&A.
Joseph P. Clayton: Thanks, Robert. Our plan remains the same: to grow high-value customers and to increase revenue while at the same time making the strategic investments for our future. Thanks for joining us today for our third quarter earnings call. Now we'll open it up for your questions. We'll start with questions from the financial analysts. And when we are finished with those, we'll open the line up for questions from the media. Okay, operator.
Operator: [Operator Instructions] Your first question comes from the line of Marci Ryvicker from Wells Fargo.
Marci Ryvicker - Wells Fargo Securities, LLC, Research Division: First question, with churn down so much, can you talk to us about what the driver of this was? Did you have any specific promotions in the quarter? And did your retention spend go up significantly because of this?
Bernard L. Han: This is Bernie. I think there are a number of factors. First of all, when you compare to the second quarter, the biggest difference was the roll-off of the price increase impact that we saw in the second quarter. Typically, the third quarter, we'd see a bump in churn rate somewhere between 7 to 10 points. And this year, we didn't, I think, because of all the price increase. The price increase impacted us in the second quarter a little bit more than we had anticipated. When you look year-over-year, there are a few things that happened. One is we had a fairly -- even though we had a takedown in the quarter, it was relatively clean compared to last year at this time and some of the previous years in the third quarter. When it comes to third quarter promotional -- football promotions, I think we saw less of an impact this year than we did in the past several years. I think some of the customers that were more attracted to football commercial offers were kind of lost the past several years, and we lost a little bit less this year. Outside of that, it's a continuation of some improvements we've been making in the customer service and improvements we've been making in retention practices overall.
Joseph P. Clayton: And in the product.
Operator: Your next question comes from the line of Ben Swinburne from Morgan Stanley.
Benjamin Swinburne - Morgan Stanley, Research Division: I have 2 questions that are both around programming costs. Robert, can you talk a little bit about the year-over-year growth you saw this quarter? I know you were comping the AMC dispute last year, but 9% I think is higher than we've seen. What kind of organic [indiscernible] growth did you see in the quarter, and what should we expect going forward? And along those lines, maybe for Joe or Charlie, can you help us [indiscernible] just say discussions, obviously really important programming for the product that you have with Hopper lawsuit? I'm wondering how you're thinking about juggling those 2 variables as you try to move forward with Disney as a partner.
Robert E. Olson: So Ben, this is Robert. I'll take that first question on programming expense. As we -- as I noted, our subscriber-related expense was up 9.3% year-over-year. But if you exclude broadband, which is growing quite rapidly from that number, the pay-TV subscriber-related expense is up 7.9% a year. Now obviously, that's still more than we would like and largely driven by programming expenses. As you noted, AMC slightly distorts the year-over-year comparison. We had virtually no AMC programming expense in the third quarter last year. So we've talked about this before, programming expense is going to growing far faster than inflation. It's a challenge for the entire industry.
Charles W. Ergen: Yes. And this is Charlie. On Disney, I mean, I think that we continue to be cautiously optimistic we'll get a deal done. We've obviously been in active negotiations for many, many months. And some of the issues are -- there's always economic issues, but there's -- but because Disney contracts tend to be long -- relatively long term in nature, I think both sides are trying to look at where the technology is going and what the world might look like in several years. And trying to craft an agreement about where the marketplace might look is difficult because for a long-term contract, we don't want to have to go back to Disney and ask permission to do something, and they don't want to come to us and ask permission if there's different forms of distribution for them. So -- and Disney, as it turns out, is one of the more -- is a little bit farther along in the technology curve. They seem to have a bit more of focus on that than many programmers today. So in that sense, they're thinking about things that maybe other programmers haven't thought about. And so that -- all those things are part of the discussion. So it's a great negotiation because it's forcing us to think about what the future looks like. And obviously, they -- it has to be a fair deal for Disney. It has to be a fair deal for our customers. And I'm again, cautiously optimistic that we'll get there, but there's not a particular time line on it. It really just has to be done right. It has to be done right kind of long term.
Benjamin Swinburne - Morgan Stanley, Research Division: And the fact that you didn't mention the Hopper, should I take that as a point that that's not necessarily a deal breaker, something that's going to get in the way of a constructive agreement?
Charles W. Ergen: Well, I mean, I think the Hopper was a bit more -- this is just my opinion, it has nothing to do with negotiations. But the Hopper -- our timing wasn't particularly great on that, but it's more of -- it was more of an emotional thing, I think, than a reality thing. Obviously, everybody's got a DVR that can skip commercials. So -- and I think the fact that what we really are trying to get broadcasters to think about is that people are going to skip commercials. Isn't there a better way? Let's recognize that fact. And if you recognize the fact that people are going to skip commercials when they play things back on a DVR, is there a better way for us to go about monetizing that, that is fair to the customer but actually monetizes that in a way for you, the broadcaster, who needs a dual income stream? So we are a big believer in the dual income stream because otherwise, broadcasters will just have to raise their rates more. But you have to understand that the world has changed. And if the world has changed, you get 2 choices. You can put your head in the sand or you can go out and try to do something about it. And The Hopper, as it turns out, has built-in technology that can target commercials to customers in a better and give the customer a better experience. And I think, this is my personal opinion, long term, will give the broadcaster more revenue. And to the extent that we have conversations, we can show that technology to people and if they have an open mind about it, I think they're going to come to that conclusion. It's not a proven concept yet. We're going to have to experiment with it. We won't get everything right to begin with, but the Hopper was designed to maintain a dual income stream for broadcasters just in a different way when you play advertising off a DVR.
Operator: Your next question comes from the line [ph] of Doug Mitchelson from Deutsche Bank.
Douglas D. Mitchelson - Deutsche Bank AG, Research Division: A couple of questions but first, just a clarification on the Disney deal. Will DISH start accruing what management anticipates to be the new Disney rate card as of October 1?
Joseph P. Clayton: Yes.
Douglas D. Mitchelson - Deutsche Bank AG, Research Division: Yes, okay. Charlie, reading the 10-Q, I just noted a number of ways EchoStar and DISH are still working together beyond just receivers. And the deeper you go into wireless and something like broadband, I'm wondering if this construct with DISH and EchoStar being separate publicly-traded companies is starting to become inefficient. Any thoughts on that?
Charles W. Ergen: I think based on -- I mean, it depends a lot on what the world looks like. But as of today, I think it's an efficient way to do things and I think that -- I mean, again, just in the basic thing, really what EchoStar does is their wholesale, they don't deal except with minor exceptional consumers. They do deal with consumers in the broadband business. But other than that, they don't deal with consumers. And their businesses is in fact focused on a lot of international opportunities. DISH, on the other hand, is very retail consumer-focused, doesn't do things internationally. And so I think there's a good split of resources. We'll see. Time will tell. There are certainly areas where DISH and EchoStar work together. There are certainly areas from a technology point of view where it makes a lot of sense for DISH to contract for that technology, whether it be from EchoStar or some other company and rather than do it ourselves, when our focus really has to be on the consumer. So far, it makes sense today. But obviously, they're both public companies and their boards could come to conclusions differently than that at some point in time. But I think from my personal perspective, it seems to be the right split.
Douglas D. Mitchelson - Deutsche Bank AG, Research Division: Understood. And then last question, Charlie and/or Tom, just would be interested in hearing how you feel DISH's wireless technology has progressed since the investors last heard from you in August.
Thomas A. Cullen: Hey, Doug. This is Tom. The developments since August are probably in 2 fronts: one is the developing bankruptcy proceeding on the LightSquared spectrum, where we have been deemed the stalking horse bid since the last call. And the second is the kind of multielement negotiation that we entered into with the FCC and other industry players around the interoperability agreement. And I think most people on the call probably understand the details of that, where we agreed to lower the power limits on E-block, we got an extension on our build-out. We have an option to convert the AWS-4 to all downlink. And in exchange, in the totality of that package, once approved by the FCC, which is scheduled for approval by December 22, then we would also be agreeing to bid the reserve price of $1.56 billion in the H-block auction, which is scheduled for January 22. So those are the significant developments from the last call. And I think time will tell how each of those 2 events play out.
Operator: And your next question comes from the line of Phil Cusick with JPMorgan.
Philip Cusick - JP Morgan Chase & Co, Research Division: So 2, if I may. One on just on the potential for consolidation on the satellite space. It looks like the airline deal is progressing. Charlie, can you update us on any thoughts there? And second, on broadband. It seems like the business is accelerating the costs or ramping. Are we getting to a point where churn is starting to become material in that business? You've been in there for over a year now. And should we look for it to slow down here as churn sort of starts to catch up with you or do you think it can accelerate further?
Charles W. Ergen: First -- Phil, first on the industry and consolidation, I think Mike White, on his call, summed it up pretty well. There's obviously a business case that makes a lot of sense for consolidation in the satellite industry. I think you're going to see consolidation maybe first in the cable industry. And then obviously, you're seeing on the government's part that they do negotiate things within airline [ph] side. So it makes a lot of sense whether that ever comes to your version side [ph] of the story. But I mean, I think both DISH and DIRECT realize that, that can make a lot of sense. The broadband -- satellite broadband side of it has not been particularly profitable yet. It hasn't reached its potential yet for a bunch of reasons. But in part, the satellite broadband is a great product when people have it, but it's not an alternative to cable broadband or even, in most cases, to phone DSL. So we probably need to do a little bit better job of screening our customers and that in itself would reduce churn. And you might want to go little bit slower because not all customers are equal. And so our distribution is fairly spread out between DISH, EchoStar, ViaSat, DIRECTV, dealers, distributors, Internet providers. And so you end up with not a great system in terms of control of getting the initial customer, So we've got to do a better job of that. And I think there's some ways to make more sense of that business. And Joe and his team are certainly -- well, I mean Joe may want to comment on that. But certainly, the broadband side of the business has been a pleasant surprise from a demand point of view. But we had -- the financial side of it hasn't caught up with it yet, in part, because we're learning as we go. And I think, Joe, you might want to comment on, maybe what your plans are for that?
Joseph P. Clayton: Yes. First of all, we have to remember that this is a new business. We're still learning. I believe there's operational efficiencies in front of us from an installation standpoint. We must do a much better job at the beginning of the sales process in qualifying the customer. "Are you in a cable-intensive market? Do have Fiber-to-the-Curb available to you?" In our efforts to be successful, we probably weren't as stringent in terms of the qualifications when we started in this. So I fully expect us to have some improvement as we ramp up the volume and get better with our processes and procedures.
Philip Cusick - JP Morgan Chase & Co, Research Division: It sounds like you're sort of implementing those a little more stringent standards now, and we might see of a little bit of a slowdown before the business picks up again?
Joseph P. Clayton: A slowdown -- a reduction in churn or slowdown in the business -- in the sales. We're hoping for the latter, a reduction in the churn. The sales were a little higher in the third quarter, but that was seasonally driven. We're going to see the same seasonality, I believe, in DISH Net broadband satellite as we see in the pay-TV business today.
Operator: Your next question comes from the line of Bryan Kraft from Evercore.
Preeti C. Doshi - Evercore Partners Inc., Research Division: This is Preeti Doshi for Bryan. My question is on the promotion when the new customers receive either an iPad 2 or programming credits. First question is how has that free iPad offer performed relative to the programming credits? And then two, how much did the promotion impact SAC by this quarter?
Joseph P. Clayton: Okay. I'll try to take that. In terms of the free iPad offer, we do believe that it indeed is attracting a more creditworthy customer, higher income, higher educated. So from that standpoint, we're pleased with that. We do know from our market research that the higher category of customers most likely, who've taken the iPad, churn less and have a better customer experience because, as I said earlier in my prepared remarks, that Hopper today with a tablet provides simply the best video experience available today. So we're pleased with where it's at, and we look forward to helping our business as we move into the holiday selling season.
Robert E. Olson: This is Robert. I believe your second question was on the impact of the iPad to SAC. And just so you understand, the iPad is offered to customers as an alternative to programming discount. The iPad is part of a basically multiple-element sale, which also includes a 24-month contract for programming at retail price. We have assessed the fair market value of each component. Both the fair market value of the revenue from the iPad sale and the equipment costs are amortized over the life of the contract. So to answer your question, it really -- it didn't have an impact on SAC.
Operator: The next question comes from the line of Vijay Jayant from ISI Group.
Vijay A. Jayant - ISI Group Inc., Research Division: A couple questions, please. Just you extended your buyback authorization. Can you just really talk about is that still an opportunity given your cash balance? And then more for Charlie, as you're moving forward on your wireless plans in terms of getting spectrum and probably looking for partnerships, can you sort of talk to us, in your mind, what's the business model that sort of makes the most sense on a risk-adjusted basis for you?
Charles W. Ergen: Yes. First, on buyback, yes, we extended the buyback. Obviously, we look at -- again, we look at everything and as management and we hope that we can use our cash more effectively when buying back our stock. But buying back your stock is sometimes a very good way to return value to the shareholders, so we always want to have that as an option. And so we continue to do that. But I would -- it's never our -- it hasn't been our first choice of ways to use our money. And then with tax laws, dividends are less likely because a buyback would be more likely than dividend. So -- because tax laws have changed and made that less attractive. So we continue to look for ways to use the money. Historically, the last few years has been in wireless investments and spectrum investments. In terms of strategically, the -- I think we have a lot of optionality. I think what you try to do strategically is put yourself in a place where you have a lot of optionality. I think that the latest agreement with the FCC, assuming that happens and we get the ability to go with all downlink, it gives us optionality we wouldn't have had before because it frees up some impaired spectrum for us and gives us greater potential value there. Downlink spectrum is also, as you guys know, more valuable than uplink spectrum because consumers use a lot more downlink spectrum and so forth. And because our focus in wireless is, our main focus is on video, we think that's the best way for us to go. Obviously in the video side, you use most of that. Most of that is downlink spectrum. So -- and in terms of -- and we'll see where we come out, as Tom said it, next year, where we see we come out with the H-block auction and LightSquared. And I think then you're going to have kind of a pause of where the industry is until possibly the AWS-3 auction, which may be another year later or so. So when you have that pause, then I think you can look at what your optionality is. And I think that H-block auction will be over, which means you can start talking to people again. I mean, realize that you shouldn't expect a bunch of things happening in the industry for those people who participate in the H-block auction because starting when?
Joseph P. Clayton: Anti-pollution on Friday.
Charles W. Ergen: Starting this Friday? Starting this Friday, anti-pollution rules go into effect. So that has to wait then for the -- for this, for the -- into the H-block auction. So that's kind of where we are. And obviously -- I'll just repeat myself. I mean, obviously at the end of the spectrum, we could build up. We could build up the spectrum all by ourselves. Other end of the spectrum, we could just sell the -- other end of the Gulf Coast, we can sell the spectrum. Neither one of those is a high probability, but they're possible. And in between that is to partner with somebody who's already in the business. And that partnership can take any number of forms of things going forward. And so I like, strategically, to have a lot of optionality and it's easier to make good choices when you have options. And normally when you have -- if you really do your homework, events happen, the world changes in a certain way and the strategic place you should go ultimately becomes pretty obvious. The extra year to build out, that we think we're going to get from the FCC, will be very helpful, will give us a little bit more time. The technology continues to change. There's a certain point in time when you -- the way that you would do towers and the core and handsets, that technology is changing dramatically. And so you want to hit the right timing on that. And I like where we are. And it's an asset that I think continues to increase in value on our balance sheet. And I think it helps us potentially transform the company going forward because we know we're in a mature business. We know our core business is a mature business. And while Joe and his team are doing a good job of continuing that business and it doesn't have dramatic places it can go. As a stand-alone current business, it has to do some things differently to kind of take it to the next level. Just like when we were in the big DISH business, to transform the company, we had to go in the little DISH business. And now that we're in little DISH business, we're going to have to transform the company, and one way to do that is in the wireless side of the business. That's a long-winded answer that, probably, didn't say much other than I like where we are and we have optionality and we'll see how it plays out.
Operator: And your next question comes from one as Matthew Harrigan from Wunderlich Securities.
Matthew J. Harrigan - Wunderlich Securities Inc., Research Division: I was just curious, through the discussion about Intel OnCue and various people looking at that presumably on OCC side out of market for cable. Can you talk a little bit more about your own intent in that area, since we hear a lot about that in the context of the Disney discussions?
Charles W. Ergen: Yes, this is Charlie again. We're not in any discussions with Intel on their OTT OnCue product. And we talked to virtually every programmer about OTT, and it's -- I would say it's going to happen at some point in time. But I don't know whether that's a 1-month schedule or a 10-year schedule. But it's going to happen at some point in time, but most programmers have been hesitant to embrace that kind of a dramatic change. And so in the short term, it's unclear that that's going to happen. I don't know whether Intel has contracts and is ready to go or they just have -- my gut feel is they have more of a platform than they do programming rights, only because we haven't seen programming rights being issued, but it is possible that people are doing it without our knowledge. So that's kind of where it stands. But I always say sometime OTT will happen and the timing is unclear.
Operator: And your next question comes from the line of Frank Louthan from Raymond James.
Frank G. Louthan - Raymond James & Associates, Inc., Research Division: Over longer term, can you give us some idea on the aspirations looking at Latin America and possible entering that market in a larger way? And then with the SAC up in the near term, when do you see that levering -- leveling off? Any particular promotions that have driven the near-term impact with the Hopper on FCC?
Charles W. Ergen: I'll take the first part, Rob -- okay. In Latin America, we don't have any plans at DISH for Latin America. And to be clear, EchoStar has -- is in Mexico today and has announced plans to potentially enter Brazil with...
Robert E. Olson: So this is Robert. With regards to your SAC question, we do eventually see SAC leveling down, perhaps, even slightly declining in the future. The driver of that will be when we start remanufacturing Hoppers. Right now, we remanufacture very few because very few of those customers churn. It somewhat depends on the churn rate, which -- of the Hopper, which we think will be lower. And so when we do start remanufacturing those receivers, we'll start seeing a lower SAC.
Operator: Your next question comes from one of Kannan Venkateshwar from Barclays.
Kannan Venkateshwar - Barclays Capital, Research Division: Charlie, you spoke about potentially partnering with some of the telecom operators and so on. Just wanted to understand that model looks like in your mind in terms of partnering? And what are the different options available on that front for you?
Charles W. Ergen: Well, there's a lot of options. And I guess I'm probably not going to go into detail in all of them because that -- because a lot of those things are going to have -- but some optionality will increase or decrease depending on what happens with the H-block auction and LightSquared. So we'll kind of see where we are early next year. But we have the ability to sell the spectrum. We have the ability to lease spectrum. We have a build-out we need to do by 2021; all those things factor in. Most of what we will look at strategically ideally would be to enhance the current DISH business. So we've got to -- we've got 33 years in building DISH Network. It would -- it doesn't make as much sense to me personally to go out and enter a new business and not to do that in a way that would enhance what we've already done for 33 years. And so by that, I mean, that we we'd be most interested in the wireless business, we're most interested on the video side of it and less interested in the voice and data and texting kind of thing that the wireless guys all do pretty well today. And so the video side takes a lot of capacity, which we have today. So it takes a lot of downlink capacity. So you can imagine any number of scenarios on the video side where you might partner with one or more than one of the current providers going forward. And now, whether anybody in the wireless business today is interested in video is unclear. But I would be -- I mean, it makes sense. But I think -- I watch people who watch video on tablets and phones in a wireless way. If you play with Google Glasses, you're watching video on Google Glass, but you need -- how do you get the signal there if you're not in a WiFi area? So all those things kind of come into play with spectrum. And so that would ideally be the right way for us to go about it because it enhances the DISH value when we do that in addition to maybe open up another revenue opportunity for us as well on the video side. So we have to make our video ubiquitous. So that's our focus. That doesn't mean that we wouldn't do other things. But ideally, it would be video-centric.
Operator: And your next question comes from the line of Tuna Amobi from S&P Capital IQ.
Tuna N. Amobi - S&P Capital IQ Equity Research: I was just trying to understand on the Blockbuster @Home service, how do you plan to monetize that going forward? And in terms of the content plans, should we assume that, that should -- that kind of plays into your programming negotiations as you kind of renew your contracts? Any kind of color on that would be helpful.
Joseph P. Clayton: Well, first of all, let's define what Blockbuster @Home is. It's a movie service of 15 linear channels and also a large number of digitally streamed movies. Think of it as an add-on service not too dissimilar than HBO, Showtime, Cinemax, Starz, of that yolk. We charge $10 a month for it. And we give it away free for 90 days when you purchase a Hopper and one of our better programming packages. So it is an important part of our programming mix. And we'll look to improve upon that service as every provider as we go forward.
Tuna N. Amobi - S&P Capital IQ Equity Research: Okay. Switching gears. Charlie, in your comment about the talks with Disney, I was wondering, I know you have a pending matter, the ESPN, some of the Disney channels, the HD feeds, which has been up be there for a few years now. So is that something that is -- you would view as separate? Or should I assume that, that is part of the resolution process as you kind of look to resolve all of those issues? Is that something that's part of the current negotiation?
Charles W. Ergen: Well, I don't really want give to you parts of the negotiation, but I'll give you the big picture part of it, which is Disney historically has been, for me personally, not one of our best relationships. And most of that's been my fault. And if we go forward with -- we're prepared to go either way with relationship, either not have an agreement with Disney, which strategically puts us in a different direction, which I think is -- would be unique in the industry. And while it would be a short-term problem, I think long term, it could make a lot of sense. Or the alternative to that, which is what I think we're focused on, and I think Disney's -- we want to make -- we would want to make Disney our best relationship. I'm not interested in a long-term relationship with Disney unless we can go into that by making that our best relationship in programming, right? Otherwise, it doesn't make sense because I'm getting too old to do business with people that we don't have a good relationship with and -- just to make a buck. And that's the way we're approaching it, which is how do we make this the best relationship that we have in the programming side of the business? And if we do that -- if we can do that on both sides, let's move forward. And if we can't do that, both companies will do fine, and life will move on, and we just weren't compatible, right? You don't marry everybody you date -- that's it. Disney's a very pretty girl.
Tuna N. Amobi - S&P Capital IQ Equity Research: Okay, I understand. So it's kind of you first -- see deal where you kind of made a deal that also resolved the litigation. I guess I'm trying understand, you wouldn't make a deal unless you kind of -- it was a comprehensive scenario that resolves all outstanding matters is what I'm trying to understand.
Charles W. Ergen: Yes. I would just say that I can't anticipate -- I don't anticipate if you're going to try to make some -- you're going to try to make a relationship your best relationship, I can't -- I don't know why you would want to be in court either now or in the future. And lastly, I make lots of mistakes in business. And I try to -- I just try not to continue to make stupid mistakes.
Tuna N. Amobi - S&P Capital IQ Equity Research: Understood. Last question, so when I look back several years, some of the best growth that DISH Network has had has been when you guys positioned yourself as a low-cost provider. And when I think about how you shift in the last few years, I think you're talking a lot about going after high-quality subs and et cetera. I'm just trying to understand if that's kind of a systematic shift in strategy of who your target customer is? And if that's the case, what's the underlying reason for that? Is that due to programming? Cost environment? Is there any other -- or maybe technology? Why this sudden shift in your strategy of who your target customer is? Or is that a function perhaps of the mature market and the promotions out there? It will be helpful.
Charles W. Ergen: Joe can take this one. But I mean -- just briefly comment. It's -- everybody -- it's interesting. Everybody talks about going after high-end customers. But there's only a minority of the people in United States are high-end customers. And so you have to be across the board. And I think the shift, really, I'm going to say historically, when Joe became the CEO, Joe made that shift because -- Joe has made somewhat of a shift because the Hopper really is the best product on the marketplace. And then you can read any independent review of the Hopper, but it's a 4-star product that continued to outrank and named best product in the world, and the European trade show, best product of the CES. And so that experience is the best. And so if that experience was the best, that's going to appeal to the higher-end customer. And so I don't know so much of a focus on high-end customers other than we have a product that's the best in the industry right now in terms of the experience that you have. And we didn't have that 2 or 3 years ago. And Joe and his team have made that the best product. And hopefully, we'll continue to keep it the best. Joe?
Joseph P. Clayton: I think it's pretty simple. In a mature market, you've got that product right. We need to sell a better mix. And the new product, the Hopper, it gives us a higher ARPU, for example. We get a better customer service experience. It's lower churn. Now we got to that because the Hopper product, we differentiated it from, I'll call it a CSA miss in terms of the other set-top boxes in the business today. Other providers, pay-TV providers, don't have PrimeTime Anytime. They do not have AutoHop. They do not -- they cannot record 6 programs at one time. They do not have something as simple as a remote control finder. And most certainly, they don't have the extensive mobility capabilities we have with DISH Anywhere. We think that's our competitive advantage. And that's why we're communicating that message to the buying public today. And it's helping move -- moving the needle in the right direction.
Operator: Your next question comes from the line of Craig Moffett from MoffettNathanson.
Craig Moffett - MoffettNathanson LLC: Charlie, I wonder if we could go back to the -- your conversation about video and wireless? Can you comment a little bit about how you think about the differences between a mobility wireless network and a fixed wireless broadband network? You're doing your tests with nTelos. And intuition would say it would be cheaper to build fixed wireless broadband network or a certain nomadic network, if you will, and may serve the need better for competing within the broadband market. But everything I hear you say talks about mobility as the necessary requirement. I wonder if you could just talk about that for us?
Charles W. Ergen: Yes. I may throw the fixed broadband over to Tom, but let me tell you how I think of it. We're in a fixed wireless business today, which is called broadcast from satellites, right? So we go to every streets [ph] in the United States and we send that signal out. And that same signal goes to every customer, right? So when you're watching the football game, everybody gets that signal, whether they choose to tune to that channel or not. When I look at -- so we already do that today. And we do that -- we think we do that more economical than anybody else in the United States today. So that's a really good base of business for us. But if you look in the wireless side of the business -- but the problem with that business is as soon as you go somewhere outside of your house or if you go in a room where you don't have a TV set, you can't do it by wire. You can't do it by cable. You have to ultimately have some other way to -- a means of communication. So when you go outside of your house, it means you're also going to have a video experience. And that video experience is going to change. It's going to be, in some case, broadcast, right? So our E Block capacity is very good for that. So there's -- in some case, everybody may be watching the football game. So on Sunday, everybody in Denver is going to be watching the Broncos. And then in Chicago, some people are going to be watching the Bears, okay? So you can broadcast something differently, but everybody in Denver gets the same thing. But most of where video, and where I think video is going that we're not -- where we're well-positioned with our spectrum, but we don't have a business yet, is really a unicast video, where you go to Netflix and you watch a particular movie and your wife goes and watches different movie. That becomes a unicast. And if you're somewhere outside your home or you're in the back patio, that's going to be a one-to-one relationship. And that's going to take spectrum to do it, right? And we want to make sure that you have that total experience with DISH so you can do whatever you want to. And the other piece -- reason I like that unicast business is, and I'll go back to my Hopper advertising thing, is that is going to be a unique advertising opportunity for another revenue stream for the content owners. Because now that you're watching something uniquely to you and you're watching it on a smart device. And that smart device knows who you are, it knows who you call, it knows your credit card information. It's probably a smart wallet, right? It knows where physically you are through GPS, right? It knows what you buy, right? So it's smart. And once it's smart, the advertising opportunity is really, really magnified compared to the broadcast mode that we have today. So you can imagine the content owners being able to give you a unique advertisement based on your physical location or based on your demographic in a way that they can't today. And by the way, that advertisement is also interactive. So if you wanted to purchase something or request information, you could do that while you're on your device. So when you put that whole ecosystem together, right, you're going to do what we're doing.
Thomas A. Cullen: Craig, this is Tom. To answer a little bit more on the fixed broadband side, I guess the short answer is if we're going to use the spectrum in its highest and best use in different geographic areas based on competitive broadband, as well as demand on the wireless network. So said differently, we'd be crazy to deploy fixed broadband in a large metro area where there's already Fiber-to-the-Curb or DOCSIS 3.0 or 3.1 because we simply won't be able to compete. Yet there are a lot of geographic areas in this country where there's still interior fixed terrestrial broadband, I should say, where we think there is a fixed opportunity. Again, that depends on the spectrum depth that we're ultimately able to achieve. And then in those areas, obviously, that's where there's less stress on the mobile network. And so you have the luxury of using more of your spectrum depth to support fixed broadband rather than mobility. But again, that's why we like, hopefully, achieving the optionality of having more downlink capability because in either event, more downlink will support mobile video, as well as fixed broadband because that's where the demands are. And the other -- as you know, the fact that there is no legacy equipment or technologies on the spectrum and makes this a new build or a new deployment opportunity-based technology, obviously you have to put a different lens on that spectrum when it's not occupied versus when it's already encumbered. So operator, I think that will wrap up the financial analyst portion of the call.
Joseph P. Clayton: No more question?
Charles W. Ergen: Oh, I'm sorry. One more, Joe?
Joseph P. Clayton: Okay, one more question.
Operator: [Operator Instructions] Our final analyst question comes from the line of Gerard Hallaren from Janco.
Gerard Hallaren - Janco Partners, Inc., Research Division: Yes. I noticed that Globalstar is out promoting ATC. and the FCC seems to be constructive about that for a conventional satellite for low-power WiFi use. Does that open anything up for you or enhance your value at all?
Charles W. Ergen: I mean -- this is Charlie. I mean, I think they are just -- I think it's good. I think in general, it's good public policy that you use spectrum in its best and most efficient manner. And Globalstar has worldwide frequency that's not particularly economic or hasn't been particularly economic just using it for satellite. And so they offer ATC to use it terrestrially as well. You can certainly do -- use it terrestrially without any frame in your satellite operations. So I think the FCC's got to analyze that. People will comment on that. But in general, my opinion is that makes a lot of sense because that puts more spectrum out there for use. That doesn't necessarily enhanced our value one way or the other, but it certainly opens up more opportunity for spectrum for people.
Joseph P. Clayton: Okay. That's concludes our Q&A portion with the financial analysts. And we thank you all for joining our call today. Now we've got some time for questions from members of the media who are on the line.
Operator: [Operator Instructions] Your first media question comes from the line of Liana Baker from Thomson Reuters.
Liana Baker: T-Mobile just said today that they're considering buying some spectrum from a private party. Charlie or Tom, just want to confirm that's not from you guys at all. Any idea where that spectrum would come from?
Joseph P. Clayton: Yes. We just wouldn't comment on that.
Liana Baker: Got it. So another one for Charlie. I was wondering if you would ever consider doing anything in the future outside of DISH?
Charles W. Ergen: Would I personally?
Liana Baker: Yes.
Charles W. Ergen: I've never thought about it, doing anything. I mean, I barely [ph] -- I don't know what I could do. I'm barely doing a decent job here. Since I -- most people tell me how bad I'm doing.
Liana Baker: If there was anything else you could do, what might that be? Or I guess I'm just kind of asking if you could ever see yourself doing something outside satellite or wireless down the road?
Charles W. Ergen: I mean, as soon as we develop people. I mean, Joe and I both are focused on this. As soon as we develop people that can run DISH better than Joe and I, we're going to fire ourselves, right? I mean, I already fired myself as CEO. And I'm prepared to fire myself as Chairman. And then, yes, I think there's other things that Joe and I can do. And -- but they may not be business-related. It might be more philanthropic or something else. Joe may just go hunting around the world. We can rule out pro-golf in both cases.
Joseph P. Clayton: I wouldn't mind owning a distillery.
Charles W. Ergen: Yes, I -- not to be -- but I think we have one big project left in us. And then I think that's something in wireless. And that's -- it's not something we thought about yesterday. We've been really focused on it for 5 or 6 years now. And I think we can do -- we can make better wireless experiences for customers. And I think we're -- we'd like to do that, just like I think we've done a better job for video experience for customers and held down cable rates. And I think we've been a good influence on the productivity and the competitive nature of video and innovation. And I think we can do the same thing in wireless.
Operator: And your next question comes from the line of Scott Moritz from Bloomberg.
Scott Moritz: A question for Charlie on spectrum. As you look ahead, how should we think of DISH? Are you an acquirer of spectrum or more of a seller of spectrum going forward?
Charles W. Ergen: I mean, I think we are hopefully a user of spectrum to make a better experience for consumers and make us more a productive society. I think that's what we'd like to do with our primary focus being on video. And I think the way that people should look at DISH is we're a satellite TV company on kind of part of our value and the other part of our value is a spectrum position that can be -- that will transform itself into a product or series -- sets of products in the future. And it's like an oil company having oil reserves. You have to -- they may get in the refining business. They may get in the retail gas station and convenience market. But it's all predicated on the fact that they've got the reserves in the ground even though they're not -- even though you have to go drill for them and invest first.
Scott Moritz: Maybe to follow on that. You've kind of indicated that you're not necessarily interested in building a new national wireless network. So how would you become the driller in that scenario?
Charles W. Ergen: We may not. I mean, we have the reserves. You don't have to -- you can hire -- you can do something with somebody else to drill for it, right? So I think people are putting -- are getting ahead of their skis on exactly trying to figure out what DISH will do with their spectrum, right? Because we have a lot of optionality in that spectrum today. And when you have kind of 3 big processes ahead of us in the next several months, right? One is the LightSquared bankruptcy, where we're a stalking-horse bidder. Second, we have an H-Block auction where we're going to be a participant and bid a minimum of $1.5 billion. And third, we have a waiver request in front of the FCC to convert -- give us the option to convert all of our spectrum to downlink. And those 3 things, all 3 may happen. One of those things may happen. None of those things may happen. And that will give us -- each one of those things, if it happens, will give us some more optionality and may send us down a different course. So to try to determine what course we're on today is just -- is a waste of time, right? Because you -- strategy, in my opinion, is all about putting yourself in a position that have optionality. And if you put yourself in a position you have to have optionality, then as things develop, you'll know which path to go on. Where you don't want to -- the worst strategy is -- Blockbuster was a poor strategy in our part, right? We were -- we couldn't develop optionality. We didn't get the optionality in -- like Netflix did. We didn't get optionality like Redbox did. And so we didn't -- we couldn't get optionality. So ultimately, it became a business that we needed to shut down, right? That's not where you want to be. And I think that where we are with DISH and where we are with wireless spectrum gives us optionality going forward. And when we know which path we're going to go on, you guys will be the second people to know.
Operator: And your next question comes from the line of Shalini Ramachandran from Wall Street Journal.
Shalini Ramachandran: So Charlie, a question for you. You and Joe, at different times, have talked about how it's important for DISH to pursue a sort of slim-down over-the-top offering. And you talked about how you tried, but didn't get anywhere with the biggest programmers. Can you give us an update on how important you think that is now, I guess in light of the sale of DirecTV, Hulu bid and kind of what you've said about Blockbuster? What do you want to have to offer it over-the-top to your pay-TV customers or to new core networks, if you will?
Charles W. Ergen: I mean -- Joe may jump in. This is Charlie. I don't want -- it's not something we're trying to drive. We're not trying to drive OTT. It's something that we thought maybe if it was going to happen, we wanted to be in front of it if it was going to happen so that we could help set some of the rules, right? So you kind of got a couple of options, right? We can lead the way, which means you get to set the rules. Or you can be a close follower, right, and which means you're going to accept somebody else's rules. Or you can be a slow follower and suffer the consequences of that. And so OTT is something that from Intel to Google to Amazon, a lot of people have talked about it. And so if content owners were going to pursue that strategy, we wanted to be on the front end of that. Our discussions really ultimately haven't led anywhere with major programming groups. So as far as we know, right, there's not an active imminent OTT kind of product that's going to be on the marketplace. That's not to say that certainly, other people may be having discussions we're unaware of. But it is not necessary -- it's not something we're -- we want to see happen in a short period of time because in effect, it has a negative effect on our current business, right? Having said that, we're not afraid of change. And if things are going to change, then we want to be involved in it. And so from an intellectual point of view, curiosity point of view, we're pretty intellectually curious about it. And Joe, you want to add to that?
Joseph P. Clayton: I'd say that we're intrigued by the market. It's basically maybe 18- to 34-year-olds that we're not attracting today. They are not going to pay $100 a month for their content. They're not going to watch 250 channels. They may watch 20 to 30. And they are not going to watch it on a 60-inch flat-panel display. They're going to watch it on their smartphone, their tablets or their PCs. Both Charlie and I both have 5 kids and ranges from about 17 to 28. And they are not your typical customers that we're selling satellite television to today.
Shalini Ramachandran: So fair to say you guys, are you still pursuing that? Or is that sort of on the table and not something you're actively pursuing right now?
Charles W. Ergen: I mean, look, we've talked to every CEO of every content company. We gave them the pitch. We were 0 for 50. They know our phone number. They know why we think it might be important or not be important. And at some point, if they decide to get in that business, we hope that we'd be able to participate. But it's -- we don't control that. I mean, it's not something we can do. We can't go knock on somebody's door and say, "Do an OTT product." We can knock on your door and say, "Here's how we think you make more money." And that's what we do. Here's how you guys make more money. Here's how we make more money. Let's go try it. And so far, I think for a variety of reasons, they -- most content owners have made the choice not to pursue that so far. But it doesn't mean it won't change tomorrow. But so far, that's kind of where we see it. And we haven't seen any change in the last probably 1.5 years on that subject.
Operator: And your next question comes from the line of Jimmy Schaeffer from Carmel Group.
Jimmy Schaeffer: Just a couple of quick questions. Could you speak a bit to Sling where is the technology, the marketing growth? Could you give us a little bit of an update? And then follow-up question would be commercial and the MDU site seems to be getting a lot more attention lately. Any updates on its status vis-à-vis DISH technology marketing growth?
Joseph P. Clayton: Jimmy, it's Joe, and I'll try to take the commercial business, the MDU. Just like we've seen a transformation from digital to the high definition in the consumer space, the residential space, we have yet to see that major transformation take place in business-to-business or the commercial side. We have invested significantly in the right caliber and experienced the type of people from that space, MDUs, hospitality. Then we've also invested in new technologies more cost-effective in the new digital space. And that was just recently introduced internally. We call it "Big Red". And we expect to see that to pay dividends for us as we move into the next 12 to 24 months.
Charles W. Ergen: Yes. And this is Charlie. I mean, I think Sling, as a technology, is more of a niche technology in the sense that you're having to process in real-time video signal, which is hard to do. But it certainly has major implications for our Hopper customers primarily because they get TV Anywhere in their house. So when you have a Hopper, -- most people use Sling actually in the house, they just use it through their WiFi system to watch TV in their tablets and their phones throughout their house or in their backyards. I think it's a piece to the puzzle, video puzzle, and those are the people that use Sling as they travel or of course, they love the product. But it's a little bit complicated. It's a little bit harder to use because of the way process is realtime. And obviously, to the extent that OTT happens in the future, and to the extent that you put video on servers, you can do a lot more and make that customer experience a little bit easier to navigate. So Sling is an EchoStar product. We license it here at DISH for the Hopper. And our customers really like it. But it's not like everybody's going to have Sling. I think it's more -- it's a little bit bigger than a niche product, but it's not an everyday product.
Jimmy Schaeffer: Charlie, can you give us some kind of idea of what kind of use it has relative to Hopper with a word or 2?
Charles W. Ergen: It's got a high degree of use in the house. So when a customer gets a Hopper, and assuming that they have broadband and WiFi in house, and assuming they set it up, then it gets high use in the house. It doesn't get much use outside the house, believe it or not, but it does get a lot in the house.
Operator: Your next question comes from the line of Greg Avery from Denver Business.
Greg Avery: I'm curious in, Charlie, talking about the Disney relationship and how you want to make that your best relationship. Is altering the Hopper's PrimeTime Anytime functionality part of that discussion? Are you willing to go there if that's what it takes to make the Disney relationship better?
Charles W. Ergen: I don't know why they would want to alter that. I don't know why they'd want to alter that. I mean, I think that's the things when you get to have discussions. So the fact that we actually record ABC primetime, Disney's ABC primetime for them, and the fact that viewers can -- that if they're watching Sunday night football but they want to watch the ABC channel later, and they have the ability to that without having to record it or delete the recording. We know that their viewership goes up because of PrimeTime Anytime. They know their viewership goes up because of PrimeTime Anytime. So that really shouldn't be a -- I mean, that's a win-win situation. So they should be happy.
Greg Avery: But the ad-skipping feature has clearly bothered them. Yes, the ad-skipping feature clearly troubled them, otherwise they wouldn't be in court with you. Is that up for negotiation?
Charles W. Ergen: Well, I think -- yes, I think that's a better example. So AutoHop, right, is not necessarily a good thing for Disney, right? And so what you have to combine it with the primetime anything where people watch more Disney products. And with AutoHop, they may skip a few more commercials, right? And that's kind of a wash in the relationship. The key would be can we get a relationship where we can go experiment with the Hopper, right, so that we can improve the average the viewing experience for the consumer, from an advertising perspective, it makes Disney more money, right? That's the relationship you want to have, right? And that's really what we're trying to achieve, which is -- people have DVRs. I guarantee every -- executives at Disney skip commercials. They know consumers skip commercials. Some of the advertisers haven't figured that out yet, but executives all know it, right? And so the key is to go together, right, and figure out a better experience for consumers, right? And that's really what we're trying to do.
Greg Avery: So are we likely to see some kind of settlement emerge the way over AutoHop, the way we did over AMC and Voom litigation? I mean, are we likely to that see the Disney situation resolve itself like that and take care of litigation, too?
Charles W. Ergen: Well, I mean -- one of 2 things of that is going to happen. We'll have a relationship with Disney. And if we do, it will be a fair relationship for Disney and a fair relationship for DISH or we won't have a relationship, right? That's -- I don't think there's any particular one thing that anybody's going to be hung up on. I think it's really the totality of the deal. I mean, we are a huge customer of Disney. And they're going to want to maximize their profits long-term with companies like DISH. And they have to look at that in this totality. And that's the way we look at it. So whatever -- if we do have a relationship with them, again cautiously optimistic that we will, it's going to be a good relationship for both companies. And it's going to be -- it's going to get the right product to the consumers as well. Because we're not going to negotiate on giving up customer experience that we think is important.
Operator: Your next question comes from the line of Mike Farrell from Multichannel News.
Mike Farrell: I just had a quick question or a couple quick questions about retrans. Do you guys, your media channel dispute is still going on. And there, I guess if they haven't already, they're set to close your Young merger today. Just wondering how that's going to kind of affect the negotiations? And just in a broader sense, just wondering what you guys, what your feelings are regarding all this consolidation that's going on in the broadcast group side? Is that going to make the next cycle even more hairy than the previous ones?
Charles W. Ergen: Well, I'll talk about -- you may talk about regionals [ph] , but retransmission is kind of a broken process, right? It used to be the negotiations were a fair fight. Now the broadcaster has all the leverage. And so you're starting to see -- we recognized that probably before most companies did. But now, you're seeing almost every video provider having takedowns, the latest being Time Warner, of course. The Media General is strictly in negotiation where we do hundreds of these retransmission deals. So we know where the market price is. And we're not going to pay more than the market price for their product. But we will pay a fair rate for their product. And it's certainly a big increase to what we've paid them in the past. The merger, we have an agreement with Young today that has -- so the merger may end up with some opportunity on our side to get that settled. But it's -- Media General is looking out for their shareholders. We're looking our shareholders. And you have to have discussions to come to a common ground. And if not, we won't carry their product. And hopefully, the FCC in [ph] Congress will take a look at how they're affecting consumers, both on the rate increases, which are going up now at 3 and 4x the rate of inflation every year on all video providers, and look at what they're doing in terms of empowering the broadcaster in the way that I don't think was intended by the wall. So -- and we'll fight for that. We'll fight for the consumer in Congress. And that's all we can do. In the meantime, I think across the industry, you're going to see takedowns of product because there's a price that -- there's a point at which the price doesn't make sense. Joe, I...
Joseph P. Clayton: We're having discussions as we speak.
Operator: Your final question comes from Alex Sherman from Bloomberg.
Alex Sherman: Guys, 2 quick questions. First, Charlie, have you ruled out at this point an acquisition of T-Mobile?
Charles W. Ergen: I don't really rule out anything.
Alex Sherman: So that's still on the table? That's still part of the optionality?
Charles W. Ergen: Well, yes. I think -- I mean, look, I think acquiring a company, selling our company, merging, partnering, those are all on the table. Those are all part of optionality, right?
Alex Sherman: Second question has to do with Aereo, what we've talked about it before. And Charlie, you've mentioned that you predicted the broadcasters themselves will come out with some sort of Aereo product. I want to sort of take the other point of view. Is it possible that the operators, including DISH, would come out with some sort of product that replicates what Aereo does if the courts deem it legal so that you offer your own Aereo-type service?
Charles W. Ergen: I think from my perspective, my -- everything that we're doing today is try to work with our current content providers and try to get -- we think Aereo is a good product. And we give them a lot of credit for the technical innovation. But we'd rather work with our current content providers, broadcasters themselves, to come up with a similar product that they could do because they really controls the rights. They are the right people to do it. And we're just a distribution company. Having said that, if broadcasters decide that's not something they want to do, right, or they go too slow, then, yes, I think you will see either Aereo becoming very successful or becoming part of a bigger group. Or you could see the industry do something absent any kind of congressional look at all this kind of things. So I think there's a lot of options there. But we're not -- our only discussion today is with broadcasters themselves, which says, "If you're going to do something like this, we'd like to participate. And we're willing to pay you a retransmission fee." We think that ultimately leads to the most efficient way to deliver broadcast programming over-the-top like Aereo does today.
Joseph P. Clayton: I think we're finished for the day. Thanks for everyone who joined the call. And we'll talk to you all next quarter.
Operator: This concludes today's conference call. You may now disconnect.